Operator: Good day, and welcome to today's conference call to discuss Greenlane Holdings Fourth Quarter and Full Year 2022 Financial Results. A press release detailing the financial results for the quarter and full year ended December 31, 2022 was distributed today and is available on the Investor Relations section of the Greenlane website at investor.gnln.com. As a reminder, today’s conference is being recorded. A replay of this call, as well as a copy of the supplemental earnings slide will be archived in the company's IR website at investor.gnln.com. On the call today are Craig Snyder, Chief Executive Officer; and Lana Reeve, Chief Financial and Legal Officer. Before we begin, Greenlane would like to remind listeners that today's prepared remarks may contain forward-looking statements and management may make additional forward-looking statements in response to the questions received. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties and other factors discussed in today's press release. This call also contains time sensitive information that speaks only as of the date of this live broadcast, April 3, 2023. Factors that could cause Greenlane’s results to differ materially are set forth in yesterday’s press release and in Greenlane’s Annual Report on Form 10-K filed with the SEC. Any forward-looking statements made today on this call are based upon assumptions as of today, and Greenlane assumes no obligation to update these statements as a result of new information or future events. During today’s call, Greenlane management may discuss non-GAAP financial measures, included adjusted SG&A and adjusted EBITDA. Greenlane has included a reconciliation of these non-GAAP measures in today’s press release, which is available in the Investor Relations section of the company’s website at investor.gnln.com. I would now like to turn the call over to Mr. Craig Snyder, Chief Executive Officer of Greenlane. Please go ahead, Craig.
Craig Snyder: Hello, everyone, and thank you for attending our fourth quarter 2022 earnings call and my first earnings call since taking over as CEO on January 1. I would like to first thank Nick for everything he has done for the company and his 10 years of leadership between KushCo and Greenlane. 2022 proves to be a challenging year for our entire sector and Greenlane was not an exception.  The business did not perform up to the expected standards and began an aggressive transformative strategy to actively put the business on a path to profitability. On today’s call, we’ll outline the steps we have taken and will continue to take to fulfill the three key areas of concentration we have set forth for the company; number one, an unwavering commitment to profitability; number two, enhancing and growing our leading position as a product innovator, and disruptor in our segment; and number three, continued advancement performance in developing our global omni-channel strategy.  2022 was the year of realigning our fundamentals, so that we can achieve our goal of profitability in 2023 with a more efficient model, focused on scalable, leverageable and durable revenue combined with consistent margins. We have made meaningful tangible progress and have a solid line of sight to profitability and long-term sustainability.  Tackling profitability first, we are engaged in a strategic shift to a higher margin, higher value, less capital-intensive business model that can be profitable and sustainable. This also includes improving our balance sheet, working capital and free cash flow.  Lastly, there is a continued focus on eliminating and lowering costs, bringing the company’s cost structure in line with gross margins. In our goal toward profitability, Greenlane has made several strategic decisions to restructure parts of our industrial business, because segments of our industrial business are very capital intensive, this make cash flow timing a consistent challenge.  This is in contrast to our consumer business, which is much higher margin especially when looking at Greenlane branded products, which in turn have the highest value.  With capital markets headwinds in mind, we have made strategic changes to our business to improve our ongoing working capital dynamics to convert current inventory back into cash to help fund operations throughout 2023. First, we are in the process of transitioning our packaging business via strategic partnership. The packaging segment has historically required us to hold more than $10 million of inventory at any given time.  By transitioning this business, we can monetize existing inventory to fund the investment into our higher margin segments of our business. This transition is underway and as of today, we still have $7 million of quality packaging inventory that we expect to be converted back into cash over the next few quarters of operations.  Secondly, our CCELL vape business has traditionally been very inventory intensive and suffered from cash flow timing given the fact that all of these goods come from China and are subject to 25% U.S. tariffs. We are currently in the process of restructuring that segment of our business to require far less investment in inventory. We estimate that under the new structure will need to only carry 30% of the inventory levels we have today.  We anticipate there will be $6 million plus of CCELL inventory that will be converted back into cash under this new structure over the next few quarters. Combined, both initiatives will bring in over $13 million of additional liquidity over the coming months.  More importantly, when completed, we will have better working capital dynamics for the overall business. Although we will lose some top-line revenue from our industrial segments converting from a gross to net revenue recognition, we will pick up some 100% gross margin commissions and royalty revenues, which will be accretive to our gross margins. The restructuring of these industrial segments, combined with the overall shift in focus to our consumer business and specifically the higher margin Greenlane brands, alongside higher margin customer channels, such as direct-to-consumer should substantially improve our overall gross margin profile and help accelerate our path to overall profitability and beyond.  Staying with the theme of improving working capital and strengthening our balance sheet, we are proud to announce non-dilutive capital of $4.8 million received in Q1 from the sale of our ERC Credits. We used a portion of these funds to pay down our existing senior debt, thereby reducing the total amount of debt the company has by 40% from $15 million to $8.5 million. This infusion was important to increase working capital and decrease liabilities.  Through the course of the year, we also reduced our structured payments related to previous acquisitions by more than 50% in 2022. We paid off the $8 million bridge loan, as well as the $8 million mortgage from the sale of our building.  Lastly, let's discuss how we are reducing our SG&A. Looking in the rearview mirror for a moment, the Greenlane business had a series of events occur in 2021 that had lasting effects into 2022. Those would include the acquisition of Eyce and DaVinci; the international acquisition of our ARI Logistics; a major ERP transition; integration of a 3PL servicing the consumer business; and finally, the merger of Greenland and KushCo.  Any single one of these events would have been challenging, the confluence of these events produced tremendous strain on both the business operationally and financially. Our overall 2023 goal is to be more consistent in bringing expenses in line with gross margin.  In 2022, we executed on numerous cost-cutting initiatives, which included IT expenses, professional fees, VAT, labor and the exit of facilities and office location. I'd like to go into a little bit more detail on what we did here. We digested and aligned the acquisitions into our IT platforms and while work still remains much of the digestion is complete.  We were able to complete the Up-C restructuring with all shares converting to Class-A. The majority of legacy VAT tax liabilities have been settled and the legal and accounting expenses related to those previous activities are expected to drop dramatically. We have reduced headcount by 49% throughout 2022, from 308 employees at the beginning of the year to 157 employees as of December 31, ’22. Our cost of labor has dropped 50% since Q4 of ‘21 and we have closed over ten facilities to-date and expect to close three more facilities in 2023 alongside general reductions in spends across nearly all areas of the business.  These efforts led to a decrease of 29% in adjusted SG&A from Q4 2021 to Q4 2022, down nearly $22 million to just over $15 million respectively. We expect full realization of these efforts will not show up until 2023 and combined with additional efficiency initiatives we plan to reduce adjusted SG&A significantly further in ‘23.  Our plans are to reduce SG&A by another 40% from Q4 2022 to Q4 2023 through continued cost-cutting reductions and potential realizations, the estimated $13 million in working capital improvements this year should allow the company to go much further by reducing the overall burn rate and inflecting into profitability.  Hopefully, that provides everyone a clear path on how we intend to strategically shift the business with less focus on top-line revenue, but rather sustained higher margins and growth in core consumer brand areas and how we intend to fund the working capital demands, while lowering the operating expenses until we reach profitability.  Obviously, this will require hard work from our collective team and will not happen overnight. Many of the initiatives in this plan have completed or are well underway and we feel very positive about our ability to execute on the remaining parts throughout 2023.  With the 2023 plan outline, I’d like take an opportunity to dive deeper in some of the most exciting parts of our new focus plan. Our Innovative Greenland own brands and how we bring them to market through a global omni-channel approach.  In Q4 of last year, we announced the launch of our brand Groove, aimed at offering quality products at an affordable price. We're pleased to provide an update. In February, we launched 12 new products that are now active within our brand portfolio. You can find these products at smokegroove.com. These products are being received very well in the marketplace with thousands of units sold and many customers having already re-ordered.  While greatly, who is traditionally served the connoisseur of the marketplace, our product development team comprised of entrepreneurs from Pollen Gear, DaVinci, and Eyce, created the Groove brand to be simple, functional, and reliable. Groove’s target to segment in the market looking for fundamental products to be used every day at a compelling price point. We believe Groove is perfectly positioned for sizable growth as the demand for core staples and an attractive price point should only continue to expand.  In addition to the Groove products that launched in February, we also announced product launches for DaVinci, Eyce and Higher Standards. All these launches have been very successful and we expect the contributions to meaningfully impact our Q1 and broader 2023 numbers.  Lastly, we continue to carefully curate our third-party brand portfolio that we offer to our customers to present a comprehensive one stop shopping experience. Let's discuss how we are bringing these to market through our global omni-channel strategy.  In 2022, we took multiple steps in building out a global omni-channel strategy. We launched our new B2B websites in both the US and Europe, which allow our 11,000 plus customers to order anytime and anywhere they prefer. In Q4, we kicked off the redesign of our direct-to-consumer website, vapor.com in the US and VapoShop in Europe, which launched this month.  These enhancements will increase site speed and create a cleaner user experience. In Q4, we began projects through Amazon in both the U.S. and Europe. In the U.S. we initiated transparency with three of our Greenlane brands, Groove, Higher Standards, and Eyce, along with this program and A plus content we're able to own the Buy Box section on Amazon and combat counterfeits in the marketplace. In Europe, we kicked off brand enhancement with higher standards, DaVinci and Groove.  Lastly, we have strategically partnered with distributors throughout key international markets in the following countries; Guatemala, Costa Rica, Panama Colombia, Peru, Chile, Uruguay, Brazil, Argentina, Mexico, Australia, New Zealand, Thailand and Puerto Rico. This allows us to take advantage of the largest global online Marketplace in a big way.  With that. I'll turn it over to Lana to run through our financial results in further detail. 
Lana Reeve: Thanks, Craig, and hello everyone. Thank you for joining us on the call today. As a reminder, the results I will be reviewing with you this morning can be found in our earnings release that is available on EDGAR and the Investor Relations section of our website at investors.gnln.com. Let's get to the fiscal 2022 numbers.  For the year, ending, December, 31, 2022, total net sales were approximately $137.1 million, compared to approximately a $166.1 million for the year ending, December, 31, 2021, representing a decrease of $29 million or 17.4%. The overall year-to-year decrease was primarily driven by a decrease in the Consumer Goods segment of $62 million or 56.3% decrease offset by an increase in the Industrial segment of $33 million or 59% due to the net sales contributed by our merger with KushCo that was completed on August 31st 2021.  The decline in the Consumer Goods segment revenue was due to a major restructuring effort during fiscal year 2022 to increase profitability by focusing on in-house brands that have a higher margin profile and rationalizing third-party brand offerings that carry a lower margin profile, while reducing operating cost as a percent of revenue, selling arm interest in the Vibes brand, terminating or restructuring several third-party agreements, and rebalancing overall inventory levels.  The company also experienced some operational issues impacting revenue, during the first half of the year related to the new ERP CRM and B2B systems. The company reported $22 million in net sales for the three months ending December 31st 2022.  For the year ending December 31, 2022, gross profit was $24.9 million, compared to $33.8 million for the prior year, representing a decrease of $8.8 million or 26.1%. The decrease in gross profit is the result of the declining revenue.  Gross margin decreased by 2.1% to 18.2% for the year ended December 31st 2022, compared to gross margins of 20.4% for the same period in 2021. The decrease in margin is due to the increased rate on margin from the Industrial segment that has a lower margin profile and represented 64.9% of total revenue for fiscal year 2022 versus only representing 33.7% of total revenue for fiscal year 2021.  The company reported gross profit of $5.9 million and gross margin of 26.7% for the three months ending December 31, 2022. Sales, general and administrative SG&A expenses increased $66.2 million or 76.5% for the fiscal year 2022 to $152.7 million, compared to $86.5 million for the prior fiscal year.  Excluding goodwill and indefinite lived intangibles impairment charge of $71.4 million for fiscal year 2022, SG&A expenses decreased 5.2 million or 6% to $81.3 million, compared to $86.5 million for the prior year.  The decrease is a result of cost reduction throughout the year related to a reduction in workforce of 50% and the ongoing corporate imperative to reduce SG&A spend as a percentage of revenue. The company reported SG&A of $22.2 million inclusive of $4.6 million of indefinite lived intangibles impairment charges for the three months ended December 31st 2022.  Net loss for fiscal year 2022 was $125.9 million, inclusive of a $71.4 million intangible asset impairment charge, compared to a loss of $53.4 million for the prior year. Net loss attributable to Greenlane Holding Inc. was a $115.8 million or $15.37 per share, basic and diluted, inclusive of a $71.4 million intangible asset impairment charge, compared to a loss of $30.6 million or $0.79 per share basic and diluted.  The company reported a net loss of $13.5 million and a net loss attributable to Greenlane Holdings Inc. of $13.3 million or $1.02 per basic and diluted share for the three months ending December 31 2022. Adjusted EBITDA for fiscal year 2022 was a loss of $31.8 million, compared to $22.3 million for the prior fiscal year. The company reported a $7.6 million adjusted EBITDA loss for the three months ending December 31, 2022. We ended the year with $12.2 million in total cash with $5.7 million restricted, working capital of $41 million, compared to $53.8 million as of December 31 2021. The company continues to reduce the working capital cycle focused on operating more efficiently with lower inventory levels.  We ended the year with $40.6 million in net inventories versus $67 million as of December 31, 2021. The company entered a new loan facility for $15 million during the year to support our working capital needs and recently reduced this debt in February of this year by 40% to $8.5 million, while also receiving $4.8 million from the sale of its employee retention credit. The company will continue to focus on improving cash flow from operations and managing existing debt.  With that, I'll now turn it back over to you Craig. 
Craig Snyder: Thank you, Lana. Shifting from the rearview of 2022 to the windshield of 2023, our expectations are much higher and our outlook is extremely positive. We do believe the transformative efforts throughout ‘22 are beginning to make substantial positive impacts on our 2023 financial results. In fact, we are already seeing signs in Q1.  Here are some of the reasons to believe Greenlane’s future is bright. One, in Q1, we expect 5% to 10% growth in revenue versus Q4 in the $23 million to $24 million dollar range with strength coming from our Consumer Goods segment, which saw an increase greater than 10% versus the prior quarter.  Two, we have launched a total of 13 products with our new brand Groove. Early performance has been extremely solid with an additional 20 plus products scheduled for the remainder of ‘23. Three, we have established new relationships globally in over 14 countries. Four, we have launched our B2B websites in both the US and Europe with over 11,000 customers in our US system, and are seeing exponential growth month-over-month. Five, we have significantly lowered our liabilities throughout the year and we're going to continue to do so in Q1. And six, we are pleased with the progress we continue to make against our cost reduction goals, and fully expect that progress to continue into 2023.  I will now turn it back over to the operator to begin Q&A.
Operator: [Operator Instructions] Your first question is coming from Aaron Grey from Alliance Global Partners. Your line is live. 
Aaron Grey : Hi, good evening, and thank you for the questions. So, great to see some - the inventory [Indiscernible] you are doing to bring on some cash. You guys also mentioned some additional SG&A cuts you'll be taking with the target of getting EBITDA positive by 4Q 2023. Just like to know in terms of the gross margin expectations. You expect to have to reach that 4Q, ‘23 EBITDA target. I know you're going to be shifting some of those higher margin CPG products. So, if you could help out and kind of talk about some of the gross margin targets you have embedded within that that be helpful. Thanks. 
Craig Snyder: Thanks, Aaron. This is Craig. As we discussed a little bit about some of the inventories going from a gross to a net recognition, we're expecting the gross margins to grow throughout the year. So Q1, we expect margins at 24.5%, Q2 28.7%, Q3 32.9%, Q4, 34.3%, aggregate for the year at about 30.1%. 
Aaron Grey : Okay, great. That's really helpful there. And then in terms of the CPG side, obviously, a lot of initiatives that you guys have, with Eyce and otherwise at Groove as well, but could you talk about which brands are looking to be the primary driver to the growth? Groove obviously 13 products now, additional 20 by the end of the year, are you looking for that to be the primary brand to build up off of and drive growth within CPG for the year? 
Craig Snyder: I think the three brands and those 20 plus products will really occur across four brands. We’ve launched 13 products to-date with Groove, and they have a few more coming. But you'll see newer products coming from Eyce, DaVinci and Higher Standards, as well. And I think you'll still see us work with the top providers on the third-party side as well. But you'll see new products from Groove, Eyce, DaVinci and Higher Standards throughout the year. 
Aaron Grey : Okay, great. Thanks. And then, in terms of distribution and new channels, can you talk about, maybe expanded channel distribution targets that you have, initiatives you have to get into more MSOs and how that's gone so far in terms of dispensaries outside of MSOs, but also within that and then also within head shops and how you look for the mix shift between your different distribution channels? Thank you. 
Craig Snyder: Right. I think one of the big things we tried to do is, integrate the business so that, we talk to everyone from the smallest smoke shop to the largest MSO. They obviously have different needs. What we're seeing from the MSOs is they've begun to complete their digestion of all their acquisitions and some are now looking at national brands.  This is good for us because they're turning their eyes on the business towards how they generate more revenue per square foot, attachment rates and what I’d call the more normal retail metrics. And we play a bigger and bigger role in that and that we supply a lot of those ancillary products to those stores. So, with those, those relationships and those conversations continue to deepen and grow as we're going and we feel very good there.  We've also increased our focus back and all kind of the mid-tiers. What I’d call single state operators, what I’d call small dispensary groups and smoke shops alike and are aligning our resources to focus across all those groups and their kind of needs are a little bit differently, but we see them growing in 2023 and we're seeing positive results in the first part of the year already. 
Aaron Grey : Okay, great. Thank you so much for the detail and I’ll jump back in the queue. 
Operator: Thank you. [Operator Instructions] Thank you. That concludes our Q&A session. I will now hand the conference back to management for closing remarks. Please go ahead. 
Craig Snyder: Thanks, Matt. We know there is much to be done, but we are highly encouraged by the early momentum in 2023. Thank you again for joining Greenlane's conference call today. We look forward to updating you on our continued progress on the next earning call. Thank you. 
Operator: Thank you, everyone. This concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.